Operator: Good morning, ladies and gentlemen, and welcome to the Owens & Minor's Second Quarter 2018 Financial Results Conference Call. My name is Iyela, and I will be your operator for today. At this time, all participants are in a listen-only mode. We will be facilitating a question-and-answer session towards the end of this conference call. [Operator Instructions] As a reminder, this conference is being recorded for replay purposes. I would now like to turn the presentation over to your host for today's call, Ms. Trudi Allcott. Please proceed, Ms. Allcott.
Truitt Allcott: Thank you, operator. Good morning, everyone, and welcome to the Owens & Minor second quarter 2018 earnings call. I'm Trudi Allcott, and on behalf of the team, I'd like to read the Safe Harbor statement before we begin. Our comments today will be focused on financial results for the second quarter of 2018, which are included in our press release. In our discussion today, we will reference certain non-GAAP financial measures. Information about these measures and reconciliations to the most comparable GAAP financial measures are included in our press release and in the supplemental information posted on our website. In the course of our discussion today, we may make forward-looking statements. These statements are subject to risk and uncertainty that could cause actual results to differ materially from those projected. Please see our press release and our SEC filings for a full discussion of these risk factors. Participating on our call this morning are Cody Phipps, our Chairman, President and CEO, who will provide an overview of the business and an update on the progress we are making on our strategic plan; Robert Snead, our Interim Chief Financial Officer, who will provide details on the second quarter results and more insight into our business performance. Now, I'd like to turn the call over to Cody Phipps, who will start things off this morning. Cody?
Cody Phipps: Thank you, Trudi, and good morning, everyone. Thank you for joining us on the call this morning. I'll begin with a few comments on our quarterly results and then I'll move on to an update on the significant progress we are making toward transforming our company. As for the quarterly results, we had anticipated delivering sequential improvement this quarter, but several factors combined to prevent us from achieving that goal. These factors include: lower than anticipated revenues from existing distribution customers; continued margin pressures in our U.S. distribution business; severance expense related to the recent executive leadership departures; and operational inefficiencies in the U.S. and UK, leading to increases in overtime and temporary labor costs. These challenges are correctable and we expect to see improvement in the coming months. In addition, to the above items, we recorded impairment charges in our CPS business line, which were detailed in our press release. Robert will provide more detail on these items in his remarks. Now, I'd like to provide an update on our two strategic business units and the significant and concrete progress we are making to transform our business and to execute on our strategy. In our Global Solutions SBU, we are making solid progress. Our move into attractive alternate site channels is already delivering results. Our recent acquisition of Byram Healthcare is performing well and is in fact exceeding our expectation. Byram is the second largest player in the high-growth direct-to-patient home health space, with an established brand, advanced third-party billing capabilities, robust patient expertise, and a strong and experienced team. To build on Byram's already strong platform, we're in the early stages of connecting Byram's value proposition to our large IDN customers. And the Byram team is having good success in pursuing and finding new customers. In fact, we recently won a major new contract, which will further accelerate Byram's growth. Turning to our provider solutions, we are bolstering our portfolio of value-added services to strengthen our value proposition to our customers across multiple service needs. Our provider solutions address significant customer pain-points on a number of fronts, such as inventory management, real-time data capture and procedure costs at the point of care, and product selection that drives standardization while reducing cost. As you know, our provider customers are under enormous cost pressures and they want our help in reducing clinical waste and total cost. Our new solutions are laser focused on achieving this outcome. In fact, I recently visited with a customer who has adopted our QSight point-of-use technology throughout their system to capture real-time usage at the point of care and to reduce total inventory. In another situation, we combined our end-to-end supply chain services with QSight and our SurgiTrack perioperative solution to secure a five-year contract renewal, targeting new levels of productivity and cost savings. Our early success with Byram and these examples demonstrate that our first-two strategies, deploying a more intelligent supply chain; and two, expanding across the continuum of care are delivering significant value to our customers. We continue to make headway on our third strategy, becoming the preferred outsourcer for manufacturers. In recent months, we have signed a number of new manufacturer customers in the U.S. and Europe, who value our advanced logistic services. Both of these business lines are showing top-line growth with a pipeline or additional opportunities. Our Global Products SBU took a significant step forward with the closing of the acquisition of the Halyard S&IP business three months ago, which is the cornerstone of this business unit. Our teams have done a great job with the carve-out and integration of this large products business. As we move through the integration process, our focus is on exiting the various transition service agreements, and on organizing the leadership and talent to drive this business unit. Halyard is off to a good start, showing positive revenue growth and achieving early synergies, following the April 30 closing date. The Halyard transaction increases our own brand product sales from low-single-digits as a percent of total revenues, to low-double-digits. This will be a meaningful source of sustainable earnings, as we go forward with our stronger, more vertically integrated business model. We now have the platform in place to drive growth initiatives for our own brand products. This transaction also marks a significant step in the transformation of Owens & Minor into a true global healthcare company, as we now have significant opportunities for growth in attractive new markets, such as Japan, Australia and other parts of Europe. I'm encouraged as I travel and see our two organizations come together to realize the incremental revenue and profits from enhanced product and solution offerings for our customers. Although we have talked about this morning informs our guidance for 2018 and beyond, for 2018 we anticipate that adjusted net income per share will be in the range of $1.40 to $1.50. As we look toward 2019, we have confidence in our ability to achieve double-digit year-over-year earnings growth resulting from the expected contribution from our Halyard S&IP acquisition and the realization of the acquisition synergies, continued strong growth from Byram, and recovery from certain cost challenges arising in our Global Solutions SBU. Our transformation is well underway. We have made several recent and important moves to strengthen the business into a vertically integrated global solutions provider that reaches across the continuum of care with multiple drivers of growth. The company now has a stronger more diversified business model with significant new sources of sustainable earnings and cash flow. We remain enthusiastic about the opportunity we see in the market for Owens & Minor, and we encouraged as we look towards the second half of 2018 and progressing into 2019. Finally, I would like to take a moment to recognize and thank our over 17,000 global teammates, who are dedicated to servicing our customers every day, and who are all engaged in the transformation of our business. We know they are our most important asset. Now, I'd like to turn the call over to Robert for a review of our financial results. Robert?
Robert Snead: Thank you, Cody, and good morning, everyone. Today, I will provide an update on our second quarter results and then spend time discussing our outlook for 2018. For the quarter, consolidated revenues were $2.46 billion, an increase of 8.5% compared to prior year. Revenue growth was primarily driven by our two recent acquisitions with contributions of $128 million from the Byram Healthcare acquisition, and $137 million from the Halyard S&IP transaction, which is net of $31 million of intercompany sales. As Cody mentioned, both of these acquisitions are off to a strong start. For the six months, consolidated revenues were $4.83 billion, an increase of 5.1% compared to prior year. For the quarter, we recorded a consolidated operating loss of $172 million, and for the year, a loss of $148 million. These results include a non-cash impairment charge of $165 million. The charge is the result of impairment testing performed during the quarter and is associated with the goodwill and customer lists of our CPS business. Adjusted operating income for the quarter was $46.6 million, a $5.2 million increase compared to prior year. Year-to-date adjusted operating income was $94.2 million representing an increase of $5.1 million versus prior year. For the quarter, we reported a GAAP net loss of $3.07 per share, which includes the impact of the previously mentioned impairment charge of $2.73 on a per share basis. Adjusted net income for the quarter was $0.32 per share. Results were also affected by severance expenses for executive leadership transitions of $2.5 million or approximately $0.03 per share. Now, I'd like to turn to a brief discussion of our segment performance. Before I begin, I'd like to point out a change in our segment reporting. Acquisition related intangible amortization is now excluded from segment operating income, which is consistent with our new internal measure of segment results and prior year amounts have been recast for comparability. Starting with our Global Solutions segment. Revenues were $2.29 billion for the second quarter compared to $2.23 billion in the prior year, and quarterly operating income was $24 million compared to $31.2 million last year. Margin pressures continue to weight on this part of our business. We are also experiencing lower growth from existing customers and inefficiencies in certain facilities. As for the Global Products segment for the quarter, revenues were $280 million compared to $131 million in the prior year. Revenues included two months of Halyard contributions totaling of $168 million. Operating income was $22.5 million, reflecting an increase of $12.3 million, primarily from the S&IP business contributions. Now, let's turn to the balance sheet. Consolidated long-term debt was $1.67 billion at June 30, compared to $901 million at year-end. The increase in debt includes new term loans put in place to complete the Halyard S&IP acquisition, which comes due in 2022 and 2025. At the time of this financing, our mix of floating rate debt was approximately 70% of our debt capital structure. Subsequent to the quarter close, we entered into interest rate hedges with a notional value of $450 million, reducing our floating rate exposure to approximately 40% of our debt capital structure. This move helps to provide greater certainty on our interest expense going forward and additional protection from further rises in interest rates. In light of our increased leverage, we remain highly focused on generating operating cash flow, including managing our working capital to delever our balance sheet. Turning to our guidance for 2018, I'd like to highlight certain factors that were taken into consideration. First, we now expect to face raw material price headwinds for the Halyard business of approximately $14 million to $18 million for the full year. Second, we anticipate incurring incremental operating expenses of approximately $10 million to $12 million in 2018 related to the development of new solutions and associated customer on-boarding costs. This level of investment is above past years, so we are highlighting it. The amount of expense will be impacted by the volume of business we bring on under these new solutions as we transition into 2019. Third, interest expense is expected to be approximately $3 million higher than our original expectations as a result of both higher debt issuance cost and increased interest rates. Last, our assumption for the full year effective tax rate is now around 30% compared to our previous estimate of around 25%. Our revised expectation is primarily due to changes in the level and mix of income across our tax jurisdiction. All four of these factors are included in our guidance for 2018. Our guidance is also based on a number of additional assumptions highlighted in our second quarter slides, which can be found on our website. As Cody indicated for 2018, we are targeting adjusted net income of $1.40 to $1.50 per share. The acquisitions we have made including the identified synergies have established a strong foundation for growth for Owens & Minor. We expect double-digit growth off our 2018 base in 2019. Thanks. And with that, I will turn the call back over to the operator to begin the Q&A session.
Operator: [Operator Instructions] Our first question is from Michael Cherny with Bank of America. Your line is now open.
Michael Cherny: Good morning and thank you for taking the question.
Cody Phipps: Hi, Michael.
Michael Cherny: Hey. I want to dive in first on the composition of the guidance. You just walked through some of the puts and takes on what's changed versus your pervious assumptions. As you think about the costs that are being onboard into the business and the commodity headwinds, other moving pieces, what do you think are areas that are, I would say, more temporal in nature, more tied to the deal specifically versus areas where this is now a permanent part of the cost base, particularly as we think about how to build a bridge for the 2019 numbers?
Robert Snead: Hey, Mike, it's Robert. It's a great question. Let me expand on that for you. I mentioned four things in my remarks. There were some commodity headwinds that we talked about of $14 million to $18 million. That item I would view as more potentially continuing going forward as we thought about it, the second half of the year, and even potentially into 2019. Obviously, that's something that we can't predict per se, so it could be a good guy going forward, it could be a bad guy depending on where that comes out relative to forecast. The investments are something that, while there is negative impact in the second half of the year, that's something we expect to begin to earn a return on that investment as we go forward. So I wouldn't see that as something that would continue onward into 2019. The interest is that impact is more here to stay, so to say. From a tax perspective, I would say that's more temporal. This year, we thought we'd be at that 25% rate, because of the change in the - that both the level and the mix of income in our various tax jurisdictions. We're looking at a 30% rate-ish for this year. And going into next year, we'd expect to get back more towards that longer term rate of 25%. So I think that's something that is more temporary. And then the last piece I'd add is the severance that Cody mentioned is also something that I wouldn't expect to be recurring in nature.
Michael Cherny: Understood. And then, just one other question, you talked about cash flow priorities and paying down debt, given your leverage levels. If my math is correct, and please correct me if I'm wrong in terms of how you account for it. But I'm at roughly north of 6 times exiting the year, based on your implied guidance. How do you think about that related to where you sit in terms of your covenant agreements with the various banks? Did something change when you put in these interest rate locks? And can you update us, given the change in operating assumptions on how you expect over next couple of years to delever at what pace you should be paying down debt?
Robert Snead: Yeah, that's also a great question. I think the definition of EBITDA under our covenants agreements is perhaps different. And there is certain math that goes into that. So I'd say you're a bit north of where we are in terms of leverage. But more directly to your question, it is our intent over the next three years to delever below the 4X level as we generate cash over that timeframe and that's our expectation going forward.
Michael Cherny: Okay. Thanks so much.
Cody Phipps: Thanks, Michael.
Operator: Our next question is from Robert Jones with Goldman Sachs. Your line is now open.
Jack Rogoff: Thanks. This is Jack Rogoff on for Bob. Thanks for taking my question. Can you talk a little bit more about the facility inefficiencies within Global Solutions and what actions you're taking to resolve those?
Cody Phipps: Yeah, thanks, Jack. This is Cody. We've got a very robust operations improvement program underway. And unfortunately, in some of the markets that we're in, we've had higher-than-expected turnover, as well as we are onboarding new customer volume. That's created a little bit of a challenging dynamic from which to drive forward continuous operations improvement. So we've had to incur additional overtime and temp labor in those markets. That's been the drag. The good news is these are correctable issues. It's a top priority for us. I've been out in the market. I was in one of our facilities this week and we're on a positive trend there. But we called it out, because it's been a headwind for us thus far this year.
Jack Rogoff: Got it. Thanks.
Operator: Our next question is from Sean Dodge with Jefferies. Your line is now open.
Sean Dodge: Yeah, good morning, thanks. Maybe starting with Byram, Cody, the major new contract you mentioned winning there is certainly encouraging. Is there any more color you can give us around that? I suppose it was a competitive displacement. But how long was the sales cycle? What were the big decision drivers or factors for the client? And then any bookends you can put around maybe size and implementation timing?
Cody Phipps: Yeah. Thanks for that, Sean. First, let me just say, we're delighted with the progress that Byram's made. We completed that transaction in August of last year and it exceeded our expectations. It's one of the pillars of our strategy to strengthen and diversify our business model into attractive alternate site channels. So just really super pleased with the Byram team and what they're doing. We don't comment on specific customers. But what I can tell you is it's a very large contract, very large entity, and the sales cycle was months. It was months to go through. And Byram team did that very well. And what we're excited about is they're already demonstrating above-expectation growth and this is going to fuel that further, starting later this year and into 2019. So real nice win, and again, I don't want to comment specifically on the customer.
Sean Dodge: Okay. Thanks. And then, maybe on the core hospital distribution business, we talked about the challenges you've been facing. I guess, with some of these business transformation initiatives you put into place now, is the outlook improving there, I guess, if we think about how you feel about that business over the next several quarters now, can you maybe compare that how you felt about it a few months back?
Cody Phipps: Yeah, I think, again our strategy has been to stabilize that part of our business, and then to drive growth through our new platforms Byram, Halyard S&IP and then the new solutions as we diversify and strengthen the business model. So the outlook on the core, we've been through significant - as we've called, out it's been a very competitive marketplace with significant margin pressures. I do see that moderating somewhat. I think, we've been through a lot of the repricing of the business, I think. We've been through a lot of contract renewals. So if anything we see that stabilizing a bit. It's a little too early to call that ball, but what we're excited about is the efforts we have underway there, but also the new platforms we have to drive sustainable growth and cash flow going forward. And that's why we are confident in the outlook for 2019.
Sean Dodge: Okay. And then just a quick last one for Robert. Can you share with us the expected contribution to 2018 guidance, EPS guidance from Halyard?
Robert Snead: Yeah, we had put out before that the business was looking to be accretive this year. With the commodity headwinds that we're facing, a lot of that has been unfortunately taken away. The good news, if you look through that is if you kind of strip out that commodity impact for the Halyard business. The underlying business is doing actually quite well, and in fact, it is exceeding our expectations from the original acquisition case that when we made decision to buy the business. So the fundamentals are north of what we were thinking, but the commodity headwind, unfortunately has kind of taken some wind out of the sails this year. As we look towards 2019, with more synergies coming on and continuing to drive that business, we do expected to be accretive in future years.
Sean Dodge: Sounds good. Thank you again.
Cody Phipps: Thank you.
Operator: Our next question is from Steven Valiquette with Barclays. Your line is now open.
Steven Valiquette: Thanks, good morning, everybody. So I guess just within the core hospital distribution business, it might be kind of hard to answer. I'm just curious whether or not you're seeing pricing pressure maybe more in the products where competitors have been self-manufacturing some of those particular SKUs. And is that where there is more price pressure or does it just go beyond that, maybe it's just across the board? Just kind of curious, if there is any color on that component of the dynamics in the marketplace. Thanks.
Robert Snead: Sure. It's a good question. I wouldn't say, we would call out on the product side any differentiation in pricing pressure. I mean, certainly where there is more - where there is less differentiation and there is more players in the market, you tend to see more of that. But these products have been under pricing pressure for years and years. So I wouldn't call out a specific big difference between different categories on that.
Cody Phipps: Yeah, I would just say the primary pressure we face, Steven, has been on the distribution pricing driven by the bundling of products with distribution.
Steven Valiquette: Okay. All right. Great, thanks.
Operator: Our next question is from Eric Coldwell with Baird. Your line is now open.
Eric Coldwell: Hey, thanks. Just a few quick ones here. Why exactly where the existing customers' purchases lower than your expectations?
Robert Snead: Yeah, good question. When we look at our results compared to last year, when we look at sort of the existing customer growth rates, we had a lower level of this year in our numbers than what we were originally anticipating and what we've seen. When we looked at that relative to the broader market, you see some of the public folks that are up, others that are down. A lot of that's driven by two big factors: one is utilization; and then the second is some of the M&A activity. As the providers have been consolidating within our channel, we don't - as we mentioned in the past, we don't specifically pull that out and looking at our existing customer growth rates. So my sort of guess between the lines is that reduced level of M&A activity coupled with a softening in utilization is what's driving that.
Eric Coldwell: Okay. And I think the fear is always going to be that maybe a new channel is going to be coming in here like the Amazon threat that we hear so much about or perhaps market share losses, and it doesn't sound like those are either of the items you're citing today.
Robert Snead: No, in that metric that I am citing in that comment is a like-for-like existing customer base, so those wouldn't be factoring into that number anyway.
Eric Coldwell: Okay. So commodities, which commodities is it due to the tariff war, is it something else? I'm trying to get a sense on what we should be tracking to maybe get an early read on when perhaps this commodity headwind could revert, if it does.
Robert Snead: Yeah, Eric, another great question. We have two key raw materials that go into the products with the Halyard business. One is nitrile and the other is polypropylene and these are things that Avanos, the former parent, called out as well and those are the two key raw materials in the business, and where we have seen price increases in the first half of the year that we are projecting will sustain through the back half of the year.
Eric Coldwell: Is it tariff war stuff? Is it reduction in the number of manufactures?
Robert Snead: No, no, no, it's pure, it's pure - the underlying longer term driver of some of these prices are derivatives of oil, and I would say they are kind of two derivatives from oil itself. If you look just at oil, it's probably not the right commodity to look at. But over the long-run, it's certainly correlated, because these are byproducts of the oil processing process. And so that's more the driver, it's not taxes or tariff.
Cody Phipps: And I would just add that the Halyard S&IP business does not - where we are vertically integrated, we don't produce in China. So as we've looked at the tariff issue, not as big of an issue for us at this point.
Eric Coldwell: Okay. And then, how much of the raw material costs can you pass on to customers?
Robert Snead: Another good question. In general, and in the short-term, it tends to be more limited, because of the nature of the contracts. If you think about - if I look at a longer timeframe for that business and what's happened to it over a longer timeframe, margins have compressed, and then they have expanded back out or they have expanded and they compressed back in depending on which way the commodities are moving. And it takes a while for that to sort of cycle through the business.
Eric Coldwell: Last one, I promise. So probably the number one question I get is sustainability of the dividend, and your interest in maintaining the dividend given another year of profit pressure here. I am just curious, if you have any updated thoughts on that. I mean - part of me thinks maybe you'd be better off just getting it done with and ripping the band-aid, but I know the company has had a very long history with this dividend. So I am curious what the internal thoughts are at this point.
Cody Phipps: Yeah, we - first of all, we're very excited about the new business model and the new sources of cash flow generation. And that's why you saw the optimism in our outlook for 2019. And we remain committed to the dividend.
Eric Coldwell: Got it. Thanks, guys.
Operator: [Operator Instructions] Our next question is from Jonathan Bentley with Leerink Partners. Your line is now open.
Jonathan Bentley: Hi, this is Jonathan on for Dave. Just had a quick question, a lot of questions I had were already answered, but just mentioned that where you're vertically integrated with the commodities you're not producing in China, where is most of your production located?
Robert Snead: Yeah, so we have a number of manufacturing plants. A lot of the material is produced here in the United States and North Carolina. And then the other big facility is in Thailand, where a lot of our gloves are manufactured. And some of the product is converted into finished goods in Mexico and Honduras.
Jonathan Bentley: Okay, great. Thank you. And then, also just wanted to touch on, the management team that you have in Europe, do you feel like you have the right people in place? Are you looking to make any changes over there? Just any thoughts would be great.
Cody Phipps: Yeah, we've got a good team in Europe. We're always looking to add new talents. In fact, we've had some recent additions. We'll talk more about that in the future. But we like the team there and they've had some recent wins as well. And so, we're looking to add to that team and drive that business forward, so.
Robert Snead: And Cody's comments were predominantly related to the solutions side of our business. When we think about the product side and the carve-out from Halyard, we got a good complement of team mates that came over with the acquisition. That was a heavily negotiated item across the board of the whole company, so we're happy with the leadership that we have in place and we were able to secure a number of key personnel over that transition process, not just in Europe, but in Asia-Pac as well.
Jonathan Bentley: Okay, great. Thank you very much.
Cody Phipps: Thank you, Jonathan.
Operator: Our next question is from Anne Samuel with J.P. Morgan. Your line is now open.
Anne Samuel: Hi, guys. Thanks so much for taking the question. I was hoping, as we think about bridging to double-digit earnings growth next year, you outlined a lot about the margins, but how should we be thinking about the revenue growth as well?
Robert Snead: Yeah, that's not a metric we're putting out. Obviously, at the appropriate time, we will put out formal guidance for 2019 and that will kind of give you a lot more granularity into some of the components of the P&L. But I would say at this time, it's certainly sufficient to support the double-digit earnings growth that we put forth. And I think where we see growth going forward is in areas like Byram that Cody mentioned and areas like our Global Products business where we have synergies that we're going after that should help on the top-line.
Cody Phipps: And the only other one I'd add is we've had some recent wins in our manufacturing solutions business, both domestically and in Europe. So that will be kind of a green-shoot area for us as well on the top-line.
Anne Samuel: That's very helpful. Thanks. And then, should we assume kind of a similar operating environment as you're seeing right now or do you see - foresee any improvement next year just as we kind of think about the top-line?
Cody Phipps: We called out the challenging operating environment primarily on the acute distribution side. What we're excited about is our new business model and the new growth opportunities. So Byram is growing very well for us. The Halyard S&IP business is a good start. So really the optimism that you are hearing in us is about the new business model, and the new sources of revenue and profits that we have going forward. So - it doesn't - we're not calling out a major change in the operating environment.
Anne Samuel: Great. Thanks very much guys.
Cody Phipps: Thank you.
Operator: And I'm showing no further questions. I would now like to turn the call back to Cody Phipps for any further remarks.
Cody Phipps: Thank you, operator. As I said, we're excited about the progress we made in transforming our business and we're laser-focused on improving our operating performance. Our new business model is stronger and more diversified, which allows us to generate incremental and sustainable profit and cash flow. We're encouraged as we head into 2019 and we look forward to updating you on our progress during our third quarter call. Thank you.
Operator: Ladies and gentlemen, thank you for participating in today's conference. You may now disconnect. Everyone have a great day.